Operator: Good morning, my name is Sheryl and I will be your conference operator today. At this time, I would like to welcome everyone to the Flowers Foods fourth quarter and fiscal year 2007 Earnings Call. (Operator Instructions). It is now my pleasure to turn the floor over to your host, Ms. Marta Turner. Ma'am, you may begin your conference.
Marta Turner: Thanks Sheryl and good morning everyone and thank you for joining us. With me today are George Deese, Flowers Foods' Chairman of the Board, Chief Executive Officer and President and Steve Kinsey, our Senior Vice President and Chief Financial Officer. During our call today George and Steve will discuss our 2007 performance, talk about our strategies as well as the outlook for 2008, and then we'll open our call to your questions. First, we must point out that our presentation today may include forward-looking statement about our company's performance. These may include discussion about a number of factors regarding future performance such as earnings per share, net sales, margins, interest expense, cash flow and other such items. These statements are based on our view of things today so they may contain some degree of uncertainty. While we believe our statements to be reasonable, they are just subject to risks and uncertainties that could cause actual results to differ materially. In addition to the matters we will discuss during the call, important factors relating to Flowers Foods business are detailed fully in our SEC filings. Now it's my pleasure to turn our call over to Flowers Foods' Chairman, CEO and President Mr. George Deese.
George Deese: Thank you, Marta. Good morning. Thank you for joining our call today and for your continued interest in Flowers Foods. We achieved outstanding results in the fourth quarter and for the full year, even as we faced higher input cost. Before we read our results in more detail, I want to mention higher commodity cost and how we're addressing that issue. Our strategy is to use our hedging and forward bind programs to know our cost well ahead, sometimes as much as a year out. Our first step is to make operational improvements to control our cost and to increase our efficiencies. Then as a last resort, we take pricing so that we can maintain our margins even as our cost go up. Our good results for 2007 were achieved as our team executed well on that strategy. As we enter 2008, flower and other ingredient costs are at historic levels. As part of our plan and process, our team determined what our costs would be, identified operational improvements and took pricing action only as needed. I am confident in our strategies and in our ability to achieve good results we are forecasting for 2008. Now looking at the results we reported this morning, we are pleased to report sales were up 8.1% for the quarter and 7.8% for the full year. Income from continuing operations was up 35.3% for the quarter and 26.4% for the year. Earnings per share came in at the top of our guidance, $0.23 for the quarter and $1.20 for the year. EBITDA for the question was 9.8% of sales. For the year, we achieved EBITDA of 10.3%. As you will recall, our long-term goal is 10% to 12% EBITDA to sales. This is the first time we passed the 10% mark. I want to congratulate our entire team for that standing achievement. Now let's look more closely at our operating groups. Sales for the Bakers Group increased 9% for the year and 10.7% for the quarter. EBITDA margin for Baker's was 12.1% for the year and 11.9% for the quarter. Turning to our Specialty Foods Group. Sales increased 3.1% for the year but were down 2.4% for the fourth quarter, as we experienced softer sales depending customers and some food service customers. EBITDA for the specialty group was 10.1% for the year and 9.9% for the fourth quarter. We are pleased to see the improvements being made on margins in the specialty group as we continue our strategy to transition from low or middle margin business to higher margins branded products. We are pleased to report that sales of our branded products continue to experience strong growth, in fact 10.6% of the quarter and 8.8% for the full year well ahead of the category growth of some 6%. Sales of branded products continue to grow. Branded sales represent a higher percentage of our total sales, that indicates that the consumers are not trading down. It also demonstrates the power of our Nature's Own, Whitewheat and other brands. Many of today's consumers want the healthier variety, the flavor choices and the assured quality that our branded products offer. Now let's just look at our sales by category. Our black bread brands lay about Whitewheat and local white bread brands grew by 9.2% in the quarter and 8% in the year which is well ahead of the category. Sales of Nature's Own variety breads in the quarter and for the full year continued very strong with double-digit growth ahead of the soft variety category. Nature's Own remains the best selling soft variety bread in the country. Our newest brand extension, Nature's Own all natural premium breads continue to experience strong growth. Sales grew in strong double digits in the quarter and the year well ahead of the category. Our branded buns and rolls also were up double digits for the quarter and high single digit for the year. Our continued sales growth across all the categories of branded bread, buns and rolls in which we compete is evidence of the strength of our brand and of our execution in the marketplace. Once again according to IRI, our brands gained share in both dollars and units in the quarter and for the full year. Our private label sales were also up in the quarter and for the year. Our non-retail business which includes food service and institutions increased 3.3% in the quarter and 5.2% for the year driven by sales to quick serve customers. Our snack cakes brands, Mrs. Freshley's and BlueBird had lower sales in the quarter and the year. We continue to shift our focus on branded snack cakes and exit contract production and we had less promotion activity in the fourth quarter as we continue to strengthen our margins. In October, we introduced several 100 calorie Blue Bird and Mrs. Freshley's snack cakes. We are pleased with the consumer acceptance of these 100 calorie snacks. Let me mention a few highlights from 2007. We opened the second production line at our new bakery in Newton, North Carolina. We benefited from investments we have made over the past several years to add production capacity closer to our growth markets and to improve our distribution systems. Our improved selling, delivery and administrative expense for the quarter and the year indicates that strategy is sound. In the fourth quarter, we announced our plans to build a new bakery in Bardstown, Kentucky. The new bakery should start up with a production line late in the 2008. Late in 2007, we purchased the Suwanee bakery which we had been leasing from Suwanee since the mixed diverse year in 2003. We also bought a small bakery mix business in Maryland that had been supplying some of our cake mixes. We consider this a supply chain move to help improve the quality and cost of our bakery mixes. Now, Steve Kinsey will give you more details of our financial report. Steve?
Steve Kinsey: Thank you, George and good morning. As George commented, we finished the year with a strong performance in the fourth quarter making 2007's full year performance outstanding of both measures despite the commodity and counts headwinds we faced and continue to face. Net income from continuing operations for the quarter improved 35% to $21.4 million and fiscal 2007 net income from continuing operations grew 26% to $94.6 million. Our operating margin for the quarter improved 6.6% as a percent of sales and the full year margin as a percent of sales was 7.1%, up 80 basis points from the 6.3% a year ago. This growth is attributed to the strength of our brands, improved efficiencies, cost management and processing strategy, as well as great execution throughout the company. Our earnings per share from continuing operations for the quarter grew 35% year-over-year to $0.23 per share from the $0.17 per share in the prior year. The fiscal 2007 earnings per share from continuing operations of $1.2 is an improvement of 26% over the prior year's $0.81 per share. I would like to remind you that 2006 net income did include two non-operating items that contributed approximately $0.07 per share in the prior year. Taking these into account, earnings per share year-over-year was still up a healthy 16%. Both the quarter and full year earnings per share results were in line with the guidance last provided in our third quarter call. Sales growth for the quarter was 8.1%. Pricing contributed 4.7% of the growth coupled with the positive mix shift of 2.2%. As George mentioned, we do continue to see our brand performance well in the marketplace. Volume in the quarter was up 1.2% compared to a year ago. Looking at fiscal 2007, sales grew 7.8% year-over-year with pricing contributing 5.6%, a positive mix shift of some 1.9% with volumes being up slightly year-over-year. And based on George's earlier comment by category and by segment, you can see our Nature's Own brand continues to build on its strength in the marketplace. Our expansion markets in the year did contribute approximately 1.5% to 2% of sales as we guided in the past. The gross margin in the fourth quarter held up relatively well, down 30 basis points at 48.7%, compared to the fourth quarter a year ago. The full year fiscal 2007 margin was down approximately 70 basis points, a 49% compared to 49.7% last year. We think this is the phenomenal. The margin is phenomenal and held up phenomenally well considering all the price pressures we faced throughout the quarter and throughout the year. These pressures were driven primarily by higher commodity cost with increases in flower, [foods], and sweeteners. Overall interest cost including packaging and natural gas were up approximately 11% year-over-year. Looking at selling, delivery and admin expenses as a percent of sales, the quarter decreased to approximately 39%, almost a 100 basis point improvement over the same period last year. For fiscal 2007 full year SG&A as a percent of sales was 38.7%, compared to 40.2% from fiscal '06. The quarterly improvement as well as the full year improvement was driven by our distribution rationalization in both segments of our business as well as improvements in managing administrative costs throughout the year. Depreciation and amortization as a percent of sales remain relatively stable for the quarter and year-over-year. You will notice net increase and interest income in the fourth quarter and fiscal 2007 over fiscal 2006. This is due to lower debt service on our lower borrowings throughout the year and an increase in interest income on distributor notes as a result of our sales of the Derst territories earlier in the year and also the sale of our Northern Virginia expansion territories in 2007. The full year tax rate was 35.9%, down from the 36.7% reported in 2006. This is primarily due to the planned statutory reductions resulting from Section 199 manufacturing deduction. The fourth quarter rate of 38% was higher than planned due to the effect of the variable interest entity earnings on the quarter. The full year rate, however, remained in line with expectations and guidance. Looking at our balance sheet, it continues to remain strong. At the end of 2007, we had no borrowings on our credit facility. Throughout the year, we funded $88 million in capital expenditures, $42 million in dividends and we purchased just over $33 million of the company's stock. All indications are our cash flow remains strong providing us with liquidity and leverage to pursue acquisition opportunistically and also continue our cash allocation strategy as we move into 2008. Looking at the 2008 guidance, as George mentioned 2008 will provide no less of a challenge than 2007. Commodity costs are unprecedented high and have escalated rapidly over the past months with no near-term release anticipated. Ingredients, packaging and natural gas are estimated to be up approximately 22% fiscal 2008 over 2007. We have, however, continued to executive on our strategy the hedging and forward buying. We have covered our 2008 protocol and where possible other ingredients and packaging costs based on current volumes. Our 2008 sales and earnings guidance was basically unchanged from the preliminary guidance provided in November. You will note, however, a slight increase in the lower end of the range as well as the change in the growth percentages as the base moved from projected 2007 results in November to the actual 2007 results presented today. As a reminder 2008 is a 53-week fiscal year compared to 52 weeks in 2007. Our sales growth in 2008 is anticipated to be 8.5% to 11% excluding acquisitions or sales of just over $2.2 billion to $2.258 billion. We anticipate the pricing and mix will contribute about 7% to 8% of this growth, volume should be in the range of 1% to 1.5% and the extra week will provide sales growth of approximately 2%. Again our goal in 2008 is to minimize or eliminate margin erosion despite the cost pressures. We estimate net income to be $99.5 million to just over $108 million or 4.5% to 4.8% of sales. We project 2008 earnings per share to be $1.7 to $1.17, an increase of approximately 5% to 14.7% over fiscal '07. We are focused on driving out controllable costs in 2008 throughout the company, making our products a good value for the consumer with respect to both quality and price. The 2008 capital spend is estimated to be $95 million to $100 million. This does include our normal maintenance spend as well as construction of our recently announced Kentucky facility. However, this does not include equipment that maybe acquired and operating loss leases for new production lines on existing or new facilities. To sum up the financial results, the fourth quarter of fiscal 2007 results were outstanding by all measures and though we are facing tremendous cost headwinds in 2008, we believe there is still opportunity to deliver growth in sales and profitability in 2008 as we move forward. With that, I will turn the call back to George.
George Deese: Thanks, Steve. As you can tell our team was real proud of the accomplishments of the quarter and for the full year, as we say that's history. Now we are focused on doing the same things for 2008. This year Steve indicated we are facing higher input costs of some $130 million. This reflects roughly 22% increase over last year. Our guidance for 2008 takes the higher cost into consideration. Through our programs we have taken flyer coverage for all of 2008. We expect pricing and mix say to be up about 7% to 8% and we are working to reduce our operating costs at every location in every department. We can and will continue to improve our efficiencies even further. Along with our efficiency gains, the recent pricing action we took will have offset our increased costs. We will offset the need for further pricing as the year unfolds. This spring we will introduce new Nature's Own items to take advantage of the powerhouse brand. We also will introduce new varieties of snack cakes and we will continue to partner with our food service customers to develop innovative bakery items that suit their needs. Our new bakery in Bardstown, Kentucky will help relieve capacity restraints brought on by our sales group and to help serve our expansion markets. Later this year, we will announce details to add a bakery in our core market. Our sales growth brings on the need to add production capacity and we will continue to do just that. To sum up our guidance for next year, we expect to continue making improvements on our selling, delivery, and administrative costs and expect to achieve another percentage point reduction this year. Processing and positive mix yield should add 7% to 8%. We expect 1% to 1.5% growth and as Steve indicated the 53rd week will add roughly 2% to our sales. We are in great shape. Our cash flow remains strong. We will continue investing to build value for shareholders over the long-term. That includes making capital investments to add capacity and improve our efficiencies, paying dividend to our shareholders, making strategic acquisitions and repurchase Flowers Foods stock. We have virtually no bank debt. Our strong cash flow and our credit facilities will allow us to take advantage of opportunities that may arise, whether those are acquisitions, stock repurchases or other strategic moves. While the economic environment seems uncertain, we are managing through these difficult times by keeping focused on our operating strategies. We are fortunate that consumers buy Baker products in good economic times, as well as in more difficult times. Our products are a good value. Our brands deliver the flavor, the variety that consumers are become accustomed to. We believe we are well positioned to deliver good results in 2008 and beyond. Our team is experienced and focused as we work to build value over the long-term for our shareholders. Now Steve and I will be happy to take your questions. Sheryl, I'll turn it back to you please.
Operator: (Operator Instructions). Your first question is coming from Tim Ramey of D. A. Davidson.
Tim Ramey - D. A. Davidson: Good morning. Congratulations George for an amazing quarter.
George Deese: Good morning Tim. Thank you.
Tim Ramey - D. A. Davidson: Steve, question for you. I must have missed it. I didn't really understand the positive number and the variable interest entity. Was there a loss book there or was there an over-accrual earlier or how does that come about?
George Deese: In the fourth quarter, the variable interest entity had a loss. So there is a positive add back to eliminate -- we actually eliminate 100% of their earnings, so the net effect on our consolidation from the [BIU] really is neutral, but the way the accounting works and when you go through the income statement it does look like we are adding back income.
Tim Ramey - D. A. Davidson: Okay. And then on the hedging, George, you said, you were covered entirely on flower. Did you say where you were on energy or how you are planning that?
George Deese: No, I didn't Tim, I'd be happy to address it. I am not badly mistaken looking out over the year, we are probably covered, for most of the year we can cover roughly 75% to 80% of our needs and we feel like we are well positioned on the special natural gas part of that.
Tim Ramey - D. A. Davidson: Perfect. Thank you.
George Deese: Thank you, Tim.
Operator: Thank you. Your next question is coming from Farha Aslam of Stephens Incorporated.
Farha Aslam - Stephens Incorporated: Hi, good morning.
George Deese: Good morning, Farha.
Farha Aslam - Stephens Incorporated: Hi, congratulations as well.
George Deese: Thank you.
Farha Aslam – Stephens Incorporated: Looking just Suwanee facility, do you plan to increase production this year in that facility?
George Deese: Farha, that's a great question. We're looking at, as I indicated we built that facility originally and sold it Suwanee and since we've sold (inaudible) to Suwanee we will be leasing that facility ever since. What we wanted was certainty of our future and this does give a certainty. At this point in time, the capital budgets for '08, there is nothing anticipated. We have two great production lines there presently and as customers come on, we could have more production due to that, but not new capital investment for new production line in this year. But, we do have space available that in the future we would anticipate adding another production line that would probably come '09 or beyond.
Farha Aslam - Stephens Incorporated: And just going a little bit more into detail for 2008, your tax rate, Steve what are you thinking your tax rate is going to be next year?
Steve Kinsey: The rate should be in line with what we reported this year Farha with 36%.
Farha Aslam - Stephens Incorporated: Okay. And when you look at share repurchase, your share count in the quarter actually versus your third quarter, could you just share with us your share repurchase plans and kind of what causing the movements in your share count?
Steve Kinsey: The diluted shares that were reported on the basis of statement would include the effect of any stock, outstanding stock awards and that number will vary depending on the stock price throughout the year and not the quarter. And then also the effect of the share repurchase depending on the timing of the repurchase has some effect on the number of shares to get reported for the quarter.
Farha Aslam - Stephens Incorporated: So, was that the share repurchases later in the quarter?
Steve Kinsey: Yes.
Farha Aslam - Stephens Incorporated: Okay. So, we could put that into first quarter numbers. Great. And my final question George is, when you look at the M&A landscape in the industry. Could you share with us some colors if you could?
George Deese: That's a [little] question. But I would say, we don't comment on M&A activity for the company, except strategy and philosophy, and that would be, I've said repeatedly that we're always in the market looking for both on acquisitions as they become available, but that can anticipate to give any color to what could happen in the future. We're always out looking and trying to grow the company with those bolt-on type acquisitions.
Farha Aslam - Stephens Incorporated: That's all I had. Thank you.
George Deese: Thank you.
Operator: Thank you. Your next question is coming from Heather Jones of BB&T Capital Markets.
Heather Jones - BB&T Capital Markets: Good morning, congratulations.
George Deese: Good morning, Heather.
Heather Jones - BB&T Capital Markets: I want to follow up on Farha's question as far as the question landscape, and I was personally anticipating that in this difficult of the cost environment that you may see a pickup in availability of acquisition targets as less sophisticated companies are not able to handle this as well? And I guess I was just wondering not speaking to your specific situation but have you seen an increase in the availability of a businesses for sale?
George Deese: No, I can't say that it's picking up very much from what I can see. Of course we just do not comment on speculation or something that might be going on. We try not to get into that, but only future would tell as the market changes and how commodity costs do have other consolidation in the industry. Historically we've had consolidation and I would predict we will continue to see consolidation as we go forward.
Heather Jones - BB&T Capital Markets: Okay. And I believe I'm correct in this. It seems like you had a sequential pick-up in your volume growth in the core bakeries business as far as your year-over-year volume increase, I'm just wondering what drove that?
George Deese: Well, I would certainly point the growth was 1% to 1.5% and I'd point to our strong brands, particularly Nature's Own. The soft variety had a wonderful year and in addition of that, we introduced at the tail end of '06 the all natural Nature's Own product line which we had good results for the year. So volume was good and we were proud that our consumers in the marketplace recognized that Nature's Own does fit not only last year but this year, next year and the years to come. A wonderful product line that addresses the needs of our consumers with all natural, no artificial flavors, colors, preservatives, I think this matches up perfectly with today's consumer.
Heather Jones - BB&T Capital Markets: Right. I was speaking specifically the bread division.
George Deese: Yes.
Heather Jones - BB&T Capital Markets: You had been looking at volume increases on the order of anywhere from 1% to 2% and this quarter was up almost 4%. And I mean just was it better execution? Did you have a new customer come online? I just was wondering specifically because there was a very significant acceleration?
George Deese: I would point again back to the strength of Nature's Own brand.
Heather Jones - BB&T Capital Markets: Okay.
George Deese: With that we will be quite weak and we will continue to see good growth there and I repeat again the soft variety and the all natural Nature's Own line were just seeing very good growth.
Heather Jones - BB&T Capital Markets: Okay. Now going back to the comment you made about needing to assess further price increases later in the year, given where soybean oil prices are, the natural gas etcetera. If those stay at current levels, do you need to raise pricing? Or will you only have to assess further price increases if costs accelerate further from here?
George Deese: Well, we will continue to assess later in the year but I feel comfortable where we are. We did take pricing as you know in December. And we will have to see how the year unfolds. And I can't say that we anticipate, but I did say in our comments it could be possible at the later part of the year, third, fourth quarter we will have to take another look.
Heather Jones - BB&T Capital Markets: Okay. And then my final question is on the snack cake sale side, the unit decline. But I was wondering is on a tonnage basis volume down, I think it was 4.5% roughly or is this a situation of where you are counting unit as one package, so a multi-package more takes in it, but it is only still just one unit?
George Deese: There is a big conversion in the baking industry, Flowers Foods included. You’re seeing multi-packs being sold in general, and that includes flowers we are selling. Most of our growth is coming on the family pack and a lot less on the snack side. So, I did say in my comments earlier, this has been a low margin business, lower than we won't and we've been working toward growing the brands and I did comment in the fourth quarter we did not promote a lot. We saw commodities coming and was focusing on last year trying to give these margins where it should be and we'd just say look forward to growing this business.
Heather Jones - BB&T Capital Markets: Okay, thanks. You are doing a great job of doing it.
George Deese: Thank you, Heather.
Operator: Thank you. Your next question is coming from Diane Geissler of Merrill Lynch.
Diane Geissler - Merrill Lynch: Good morning.
George Deese: Good morning Diane.
Steve Kinsey: Good morning Diane.
Diane Geissler - Merrill Lynch: Congratulations on your quarter.
George Deese: Thanks so much.
Diane Geissler - Merrill Lynch: I have a sort of philosophical question. You've been ahead of the game in terms of getting your hedging in place directly so that you can understand what your cost structure will look like, as you said George up to a year in advance. And I have to believe you are very kind of out there early with pricing etcetera. And I have to believe that some of your competitors are probably not as well positioned as you are as they look through 2008. So my question is really given that you seem to be in pretty good position with where your pricing is etcetera. Do you see that there might be some opportunities for maybe market share gain later in the year if your competitors were trying to sort of catch up to ever accelerating commodities spikes here have to maybe take price a little bit of ahead of you now. Maybe if you can pickup some customers etcetera, given that you know what your cost structure is?
George Deese: I heard just the other day that Wayne Gretzky, the great hockey player said he wanted any bigger and any faster than anyone else. But he always anticipated where the puck was doing, not where it had been. And we stayed focused in looking at our commodities where heading and trying to anticipate where they are going so we started to stick with it. Like what competitors do, at the end of the year I cannot assess that at all. I couldn't speculate, couldn't comment on in. But the part I could say, that we don't stay focused, we will stay focused on our business and making sure we're doing the right thing daily through execution.
Diane Geissler - Merrill Lynch: Well, maybe the question is, if your competitors have to raise prices again because they are grappling with higher and higher wheat costs. Would you, given the choice of, a, raising prices along with them and having margin expansion? Or, b, keeping your pricing where it is and maybe pickup market shares there, do you have preference between those two, was it plays out that way?
George Deese: No, I don't want to comment like that and we stay focused on our business and I think quality wins out everyday over price and execution. We always try to be competitive in the marketplace whatever that is. But we are more focused on let's say price only, really about quality and daily execution in the marketplace. And to me, that's how we grow in share. It's not about who is high, who is lower. It's about daily execution that really counts in this bread business.
Diane Geissler - Merrill Lynch: Okay. All right, I appreciate that. And then, I may have missed this Steve in your commentary, the total shares repurchase in the quarter I have about $900,000. Is that correct?
Steve Kinsey: Correct.
Diane Geissler - Merrill Lynch: Okay, all right. Those are my questions. Thank you.
Steve Kinsey: Thank you, Diane.
Operator: Thank you. Your next question is coming from Mitchell Pinheiro of Janney Montgomery Scott.
Mitchell Pinheiro - Janney Montgomery Scott: Hey, good morning, everybody.
Steve Kinsey:
Good morning, Mitch.:
Mitchell Pinheiro - Janney Montgomery Scott: I am just sort of accounting question, maybe Steve, the Suwanee transaction. So you know leasing versus owning, how is that going to flow through on the income statement? And is it earnings neutral for this upcoming year?
Steve Kinsey: I mean, we were leasing these facilities, obviously the expense will move from a lease expense to depreciation.
Mitchell Pinheiro - Janney Montgomery Scott: Okay.
Steve Kinsey: And going into 2008, the step would probably be somewhere between $0.5 million to $1 million on a year.
Mitchell Pinheiro - Janney Montgomery Scott: I'm sorry, what's like a $0.5 million?
Steve Kinsey: $0.5 million to $1 million affect of expense.
Mitchell Pinheiro - Janney Montgomery Scott: Of expense? Of added expense relatively to where you were?
Steve Kinsey: It would be up, that's a positive. There will be a pick up.
Mitchell Pinheiro - Janney Montgomery Scott: That was a pick up. Okay. And then, is there any and I don't know if you said this, but is there any capital additions you're making, not major capital additions but is there any minor capital additions you need at Suwanee?
George Deese: No Mitch, even though we are leasing that facility, we kept our equipment up in a good shape. So, normal and when I'm saying normal, lot of times we look at $752 million per plant, expense each year for minor equipment, but nothing major will be planned for '08 and I did comment earlier that '09 and beyond we will be looking at an additional production line probably because we have the space available.
Mitchell Pinheiro - Janney Montgomery Scott: Okay. I wanted to make sure I heard this correctly. You mentioned that $130 million of higher cost, I guess, is that just flower or is that all ingredients?
George Deese: That's all ingredients in anticipation.
Steve Kinsey: That would also include packaging and natural gas.
Mitchell Pinheiro - Janney Montgomery Scott: So it does include some energy, okay. In terms of your snack cake business, in terms the actual, let's say volumes on your routes as opposed, to separate it from the contract packing and other. How did the route snack cake business do?
Steve Kinsey: Mitch, we were flat to down for the year.
Mitchell Pinheiro - Janney Montgomery Scott: Okay. And in the quarter?
George Deese: Same.
Mitchell Pinheiro - Janney Montgomery Scott: Okay. I do see the margins in that business not as strong as your fresh bread margins, and I'm curious because on a price per pound basis you would think that snack cake is higher. And I know there is a little more complexity to the manufacturing, but with the stale rates, they ought to be lower than bread. Why aren't the margins improving like you would have thought a year or two ago?
George Deese: We are seeing improvement Mitch. Of course number one we do not break out snack from our…
Mitchell Pinheiro - Janney Montgomery Scott: Right.
George Deese: Frozen foods or as all included, but if you look back on the trend basis, we are making improvement year-over-year now for, gosh, I am going to say three or four years in this segment. But I would point to say that producing manufacturing snack cake is lot more labor intensive, particularly in packaging and wrapping and we have been saying for a couple years, we invested in packaging and wrapping this past year and we have $2 million to $3 million more investment this year in packaging. So, this is multi-year, we had to get our distribution right here, our brand right, our strategy right now, we're investing in the whole packing and wrapping area to take costs out.
Mitchell Pinheiro - Janney Montgomery Scott: Do you anticipate I mean that snack cake margins should be equal or better than fresh bread margins, would you agree with that?
George Deese: Well, historically, may be in old days that was true, I’m not sure if anybody is doing that today.
Mitchell Pinheiro - Janney Montgomery Scott: Is it a function of the pricing, I mean is it like, so you just can't quite get enough pricing relative to other snack alternatives, is that where we stand?
George Deese: I think cake has been competitively priced. I think there's so many new offerings, if you walk into a convenience stores or supermarket years ago there was no as many alternatives but you think about all the bars that are now in the marketplace from not traditional bakers but from General Mills or Kellogg or whoever. Competition is a lot of different and people do have alternatives and people are looking for healthier lifestyles in these product lines and just like the bread business, years ago it's all about black bread and pack flat buns and we saw that trend coming that people were looking for flavor, better new top breads, that's why Nature's Own was developed. And I'd point to we have developed and are continuing to roll out more better [for you type] snack cakes and hopefully this will help our margins as we go down the road and again also investing in the business to take out cost.
Mitchell Pinheiro - Janney Montgomery Scott: Okay. And just two more, one, in your food service channel.
George Deese: Yes.
Mitchell Pinheiro - Janney Montgomery Scott: Quick service driving the growth there. Is that correct?
George Deese: Three.
Mitchell Pinheiro - Janney Montgomery Scott: How is casual doing?
George Deese: From our reports, especially in our business and reading data to other periodicals, it looks me like casual dining is down.
Mitchell Pinheiro - Janney Montgomery Scott: Okay.
George Deese: I would like to point Mitch to this. I think we have the competitive advantage, we can go fresh or frozen, and what the customer wants. And I think we do have in our portfolio of rest of the business. We do have the ex amount of [casual], we ex amount of fast, and some up scale. So as that consumer flows, we feel like we are in great position to take advantage of it.
Mitchell Pinheiro - Janney Montgomery Scott: Last question, are you advertising on the Super Bowl this year?
George Deese: If there is somebody, we would have. No not this year.
Mitchell Pinheiro - Janney Montgomery Scott: Okay. Well, thank you very much.
George Deese: Thank you, Mitch.
Operator: Thank you. (Operator Instructions) Your next question is coming from Eric Katzman of Deutsche Bank.
Eric Katzman - Deutsche Bank: Hey, good morning everybody.
George Deese: Good morning, Eric.
R. Steve Kinsey: Good morning, Eric.
Eric Katzman - Deutsche Bank: I guess a few last question. I think you mentioned that private label was up but obviously your branded product is doing much better. Could you make a comment more about let's say the industry and kind of what you see there? I mean is it your brand equity that’s able to offset any consumer demand to elasticity?
George Deese: Mitch, I would say that [pulling], really pulling by the Nature's Own being able to -- I'm sorry that Nature's Own does fit yesterday and todays and the future consumer I think better than any brand out there. We have been able to price the product accordingly. Looking at private label, in general, when you look at and we look periodly and quarterly, our dollars are from our outlook looks like 3% to 4%, units being flat to down both. So, I know the big worry and of course we prices. December 1st, we've got roughly two months behind us. So we've not seen this mad rush to drop brands and go to private label, and I know the economy is tough and I know gasoline prices has been up considerably and all the problems with many markets etcetera, but I really believe people today are looking for that healthy product, they are looking for flavor and a good quality product and that does just pay Nature's Own.
Eric Katzman - Deutsche Bank: Okay. And then kind of different question, I think at the Analyst Meeting in North Carolina, that was just around the time that the judges were going to try to make some ruling on interstate, and then we had that kind of private equity bid come in and that's disappeared. What are you hearing from the courts in terms of kind of bankruptcy judged decisions on where IBC goes?
George Deese: Gosh, I just read in the Kansas City paper, I guess the same information that you probably saw. Yeah there is much information that comes out on that, that you can read publicly. I'm not sure where it goes. I can't speculate at all. I really honestly do not know, I don't know the truth, but I wish I knew more. I don't need to know more I am sure.
Eric Katzman - Deutsche Bank: Yeah, I think that -- I guess with surging wheat cost and their let's say difficulty with brand equity, you kind of wonder given that they have a few billion in sales. I mean if they have to seize production or something like that, that's going to be a pretty mad scramble for the retailers to try to fill that space.
George Deese: I don't disagree with that statement.
Eric Katzman - Deutsche Bank: Okay, I think that does it for me. Thank you.
George Deese: Thank you Eric.
Operator: Thank you. Your next question is coming from David Libowitz of Burnham.
David Libowitz - Burnham: Good morning.
George Deese: Good morning David.
David Libowitz - Burnham: A few things, with the new product introductions, have you seen much of an increase in your slotting fees, vis-à-vis a year ago?
George Deese: David we do not participate in slotting fees, so that's not an issue with the Flowers.
David Libowitz - Burnham: Good. Second of all, you made reference to the fact that you would be adding a facility in a core market, earlier in your talk. When do you expect the announcement to come and it's a multi-part question, so let's start with that if we may?
George Deese: I'll anticipate some announcement problem within the next three months.
David Libowitz - Burnham: Okay. Is this going to be a new build or you are acquiring?
George Deese: Acquiring. The existing building are….
David Libowitz - Burnham: Exactly. Acquiring of existing baking facility?
George Deese: No, no. Well, that discussion had to do with the new facility, and it could be from ground up or it could a building that already exists, not a bakery that we could convert. Similar to what we did in Denton, Texas.
David Libowitz - Burnham: All right
George Deese: We acquired an existing field and then got in it quicker, faster than we otherwise would have.
David Libowitz - Burnham: Understood. And could you give us some idea or what the budget would be for the planned building and getting it mechanized?
George Deese: Yes. Our last bakery in Newton we talked about on round numbers of $50 million to $53 million. As Steve indicated part of that is capital and part of it is operating leases of equipment, and we get one that's most favorable to our shareholders.
David Libowitz - Burnham: And what would the capacity of the facility be?
George Deese: Well, our Newton plant is roughly 12,000 pound bread line, 13,000 pound bread line with a very high speed bun line, and we’re living under top bun lines in the future, real fast. And by the way let me point to that, I probably didn’t commend on that enough or make comment about it during my presentation. The efficiencies, again this is not a new strategy, it's been in our company for years to make those investments to keep our manufacturing cost in good shape, and those efficiencies looking at Newton, our new bread line in Villa Rica, the new bakery in Newton North Carolina. These speeds and quality of product is doing wonders for the company on our efficiency, and that’s how we continue to drive our cost. On the manufacturing side, and getting these facilities in the location which are close to the people, the major population areas is [hoping] tremendously on the selling and delivery expense for the company. So we stand focused on driving out cost through efficiency in manufacturing, and getting these plants in the right place where major populations areas are.
David Libowitz - Burnham: And my last question if I may. Over the current year the balance of the year do you we expect that enter any major new markets without acquisitions?
George Deese: David, I would say that we have, since our announcements some four year ago, we've entered new markets each year. Some major and some you would say, not major. But I anticipate again in this year that we will expand our markets. But I can't tell you really much more than that because of competitive reasons.
David Libowitz - Burnham: Very well, and I say thank you.
George Deese: David, thank you.
R. Steve Kinsey: Thank you.
Operator: Thank you. Our final question is coming Pablo Zuanic of J.P. Morgan.
Pablo Zuanic - JP Morgan: Good morning, everyone.
George Deese: Good morning, Pablo.
R. Steve Kinsey: Hi, Pablo.
Pablo Zuanic - JP Morgan: George, just understanding in terms of the guidance, the 5%, the 15% EPS growth, so given that apparently your cost are pretty much all set for the year, the main variable I guess is going to be pricing. So, correct me if I am wrong. If you with the December price increase and no other price increases in '08, you can 5% EPS growth and you will get 15% if you take another price increase in '08. Is that what we should be thinking, how you will be thinking about guidance?
George Deese: Well, let me come back to our guidance. We said [prop] and mix should be in the 7% to 8% neighborhood. We said volume, 1% to 1.5%, maybe 2%. We are saying 2% for the extra week. So, 8% to 11%, we feel comfortable with. And I did say early on, I didn’t know about the back half of the year would have been, everything is not covered with the 130 anticipates, plus some other coverage's might be up. I did say we covered on Flower and those items we could hedge out on. But there are still some more things to go, but I just can't comment much more than that on that.
Pablo Zuanic - JP Morgan: Okay, I understand. It sounds like a little bit of contradiction, and we have a 7% to 8% price increase guidance, but your EPS growth is 5 to 15. So okay, obviously I guess you answered on the cost side, it's not really 100% (inaudible), effect, right?
George Deese: Yes, that's true.
Pablo Zuanic - JP Morgan: And can you comment in terms of the December price increase, maybe you mentioned this already but what was it, the amount of the percentage amount and has that being followed so far by the rest of the industry, the December price increase?
George Deese: I think what we did say positively in our third quarter were shooting for the 7% neighborhood in December.
Pablo Zuanic - JP Morgan: Okay, and that's what you achieved. And the rest of the industry, do you think it will follow or have you seen them follow so far?
George Deese: I can speak to what we've done and that is, we feel very comfortable with the 7%.
Pablo Zuanic - JP Morgan: Okay. And just a couple of follow-up's on different questions. The new plant in Kentucky, that's going to be ready by the end of '08? I understand you don't want to comment about new market, but looking at your map, some of the areas nearby you are there and some you are not, but that plan would not allow you to enter Chicago right? I mean it's just too far or should I think well Chicago is a potential market, and you would start from that plant?
George Deese: But I cannot comment on that.
Pablo Zuanic - JP Morgan: Okay. And then a different question. When I try to quantify the opportunity that you have with the premium bread side, if I am wrong, you talked about in your core business about 35% market share. Remind us, what's your share in your territories and what I would call non-premium mainstream and then your share in the premium segment, and in those markets how big is its category, non-premium and premium. I mean that would help to understand the size of opportunity you have in premium?
George Deese: Pablo we might to do that offline. I don't have those numbers right here before me.
Pablo Zuanic - JP Morgan: Okay.
George Deese: Be happy to do as they are on, I don't mind going through it.
Pablo Zuanic - JP Morgan: That’s fine.
Marta Turner: Pablo we'll talk later.
Pablo Zuanic - JP Morgan: Okay.
Marta Turner: We did some of that in the past, you can look back and tell me and then we can update some of that information in the coming presentation, we'll look at it.
Pablo Zuanic - JP Morgan: Okay, that's great. And just one last one. I understand the argument that there's not been, you haven’t seen a trade on your products to private label, but in your territories where you compete with the say Sara Lee, so they were all in the Pepperidge Farm of the world. Do you think you are benefiting from a trade on from those brands to your brands, given that you forward from that almost like have you seem to have lower price points in Sara Lee and Pepperidge Farm?
George Deese: That's hard to say Pablo. You know we're staying focused on our quality and execution. Falling back to those two things, I think was driving our business.
Pablo Zuanic - JP Morgan: All right. Got you, and thank you.
George Deese: Thank you.
Operator: Thank you. I would turn the call back to Mr. Deese for any closing comments.
George Deese: Thanks Sheryl. And let me again thank you for joining our call today and I'd like to thank our team for an outstanding job they are doing. And 2007 was a wonderful year and we look forward to doing the same thing in '08. Thank you very much.
Operator: Thank you. This concludes today's Flower Food's fourth quarter and fiscal year 2007 earnings conference call. You may now disconnect.